Operator: Good day everyone and welcome to the Interactive Brokers Group fourth quarter financial results conference call. Today’s conference is being recorded. At this time, for opening remarks and introductions, I’d like to turn the conference over to Mr. Alex Ioffe, Chief Financial Officer of Electronic Brokerage.
Alexander M. Ioffe: Thank you for joining us today for our fourth quarter and 2007 year-end conference call. After remarks reviewing our performance by Thomas Peterffy, our Chairman and Paul Brody, group CFO, we will be happy to answer questions. At this time I would like to remind everyone that today’s call may include forward-looking statements. These statements represent the company’s belief regarding future events that by their nature are uncertain and outside of the company’s control. The company’s actual results and financial condition may differ, possibly materially, from what is indicated in these forward-looking statements. For discussion of some of the risks and factors that could affect the company’s future results, please see the description of risk factors in our filings made with the Securities and Exchange Commission. I would also direct you to read the forward-looking disclaimers in our quarterly earnings release. Now, to Thomas Peterffy.
Thomas Peterffy: Hello everybody. The $0.46 per share earnings for the fourth quarter were in line with our expectations. After a quiet October, business picked up in November and early December, before it came to the usual holiday doldrums at the end of the year. I will first talk about Market Making. For the fourth quarter our Market Making contract volume increased by the 34%, and our profits per contract increased by approximately 7% relative to the prior year. During the same period, worldwide exchange traded option volume increased by 48%. While our trading volumes and profits increased, our market share dropped by about one percentage point. This is the result of several events. Early in the quarter, we became concerned with heightened clearinghouse counterpart risk. By this I mean that if a member of OCC or a foreign clearing house were to become insolvent and unable to meet margin requirements, the clearing house would need to liquidate that member’s positions. As we witnessed during the ‘87 crash, those liquidations could occur at any price and those prices tend to become more unreasonable for longer-term options. The remaining open positions are then marked to similarly unreasonable prices. Accordingly, it is not good to have open positions, especially short open positions, in long-dated options. And we decided to provide less liquidity for those options in order to avoid building up large positions in long-term contracts. We are continuing with this defensive strategy at the present time, so that is one factor. Another factor is that in the United States, at the beginning of the quarter, 22 additional option classes began to trade in pennies, joining the already existing (13?) classes. The resulting high-growth volumes affects both of our systems and the exchanges’ systems. Some exchanges begun to have update speed issues and the ISC started to charge for quote updates over certain limits. In response, we stopped quoting high-delta options, which require frequent updates. The high quote traffic also pointed out certain bottlenecks in our systems, and they have taken us several weeks to correct. Even today we have some minor lingering inefficiencies that we have identified and we are still working on. The tighter markets also helped us realize and track down some imprecisions in our pricing. Correcting these has had beneficial effects on our profit per contract in the later part of the quarter, not only in the penny classes, but also in the remaining nickel classes and in the non-U.S. markets. We are now very comfortable with our penny quoting, although as I said, a few smaller known problems still remain to be corrected. All in all, the expansion of the penny classes has had a beneficial impact on our Market Making systems. In brokerage we had impressive growth. Year-on-year for the quarter, the number of accounts were up by 24%, customer equity was up by 44%, and cleared DARTs were up by 64%. We have been able to attract accounts with larger equity and these accounts do more trades per equity dollar for whatever currency they are denominated. We are clearly succeeding in getting more professional and institutional trader customers. We have improved our brokerage platform in many different ways in the course of the quarter, but one of the most outstanding improvements was the addition of our Risk Navigator at the end of the year. This is the ultimate portfolio analysis tool; it is similar to one that is well-known by portfolio managers and is available of the yearly fee of $500,000 or is free to anyone who has an account with us. It is a real-time risk management platform covering multiple asset classes around the globe. It is unified across all products and locations. It provides for easy identification of risk exposure by starting at the portfolio level and drilling down into successively greater detail within multiple report views. You can view Exposure, Value at Risk, Delta, Gamma, Vega, and Theta, as well as profit and loss and position quantity measures for different portfolio views. Reports are updated every 10 seconds and immediately whenever a position changes. What-if scenarios let the user hypothetically modify positions to see how changes in the portfolio will affect the risk summary. It is a fantastic risk management tool. On a different front, we have closed on the FutureTrade acquisition at the end of the year. If you do not remember, FutureTrade is an execution-only platform preferred by many hedge funds. They have about 40 software developers; we expect to be able to integrate the software and the employees with our organization in the next two to four months. In general, our prospects are excellent for the coming year. Our existing technology and our expansion plans are sound. Many of our competitors are wounded. In the coming year, we are going to focus on hiring talented programmers and continuing to build out our systems to new markets, new products, and new functionalities. I will ask now Paul Brody, our CFO, to get into the numbers in detail.
Paul J. Brody: Thank you, Thomas. And quite a number of numbers we have for you. Thanks for joining the call. I will review the summary results. And then we’ll discuss the segments before we take questions. As Thomas mentioned, earnings for the quarter were roughly in line with our expectations. As you can see in the numbers, our automated systems allowed us to keep our expenses low and our profit margins relatively high. Our acquisition of FutureTrade Technologies and its wholly-owned subsidiary FutureTrade Securities was consummated in December. We believe this to be an excellent opportunity to integrate our worldwide brokerage services with the trading technology FutureTrade has developed to specifically service an institutional customer base. Turning to our operating data, average daily trade volume reached 808,000 trades per day in the quarter, up 49% from the fourth quarter of 2006. Market Making trade volume was up 43% and options contract volume was up 34% compared to the fourth quarter of ‘06. In Electronic Brokerage, total customer DARTs were up 54% and cleared customer DARTs were up 64% from the year-ago quarter. These numbers reflect our continuing emphasize on servicing customers who clear and carry their positions and cash with us. Net revenues were $397.5 million, up 36% quarter-over-quarter − that’s the fourth quarter of ‘07 versus ‘06. Trading gains were $249.8 million, up 44% in the same period in the ‘06. Commissions and execution fees were $75 million, up 62%. Net interest income was $49.6 million, down 6% from the fourth quarter of ‘06 and I’ll explain this fluctuation in more detail as it relates to our business segment. Non-interest expenses were $128.8 million, down 2% quarter-over-quarter, driven in part by lower payment for order flow expenses and also by a reduction in legal fees than in the prior period were associated with our IPO. Compensation expenses were $26.1 million, about level with the fourth quarter of ‘06, reflecting in-part the phase-in of expenses related to our employee stock incentive plan. Compensation expenses also do not reflect the addition of 70 new FutureTrade staff beginning in the middle of December, most of whom are software developers or related technical staff. As a percentage of net revenues, total non-interest expenses were 32% and out of this number, execution and clearing expense accounted for 20% and compensation expense accounted for 7%. At year-end 2007, our total headcount before the FutureTrade acquisition was 609; that is an increase of 15% from the prior year-end. Pre-tax income was $268.7 million, up 66% from the same period last year. And between the segments, Market Making represented 76% of pre-tax income and Brokerage represented 23% with the remaining 1% in corporate-end eliminations. These proportions compare to 87% for Market Making and 13% for Brokerage in the fourth quarter ‘06, a clear indication of the growth rate in our brokerage business and the diversification of our sources of revenue. Our overall pre-tax profit margin was 67.6% as compared to 55.1% in the fourth quarter of 2006 and holding fairly steady with a 69.2% in the third quarter of ‘07. Market Making pre-tax margin was 73.2% up from 65.2% in the year ago quarter. Brokerage pre-tax profit margin grew to 52.5%, up significantly from 25.9% a year ago. This is a clear demonstration of the scalability of our automated platform. For the full year, we are in pro forma pre-tax income of $931.6 million on net revenue of $1.468 billon as compared to 2006, on pro forma pre-tax income was $761.4 million on net revenue of $1.252 billion. 2007 full-year pro forma pre-tax profit margin was 63.5% up from 60.8% in 2006. Diluted earnings per share were $0.46 for the quarter as compared to $0.29 on a pro forma basis for the fourth quarter of ‘06, and for the full-year 2007, pro forma diluted earnings per share were $1.59 as compared to $1.22 for the 2006 full-year. Our balance sheet remains highly liquid. Our long-term debt-to-equity at the year-end was 13.1%, up somewhat from the 10.7% at year-end 2006. And we continue to maintain excess regulatory capital in our broker dealer companies around the world. Our consolidated equity capital at December 31, 2007 was $3.52 billon as compared to $2.80 billion at year-end 2006, an increase of $721 million or 25.7%. I’ll turn now to the segments starting with Market Making. Trading gains for the fourth quarter of ‘07 were $247.1 million, up 38.5% quarter-over-quarter. Net interest income from Market Making was $26.2 million, a decrease of 23% quarter-over-quarter. This was in part due to additional borrowing costs during the periods of credit tightening, but also the integration of our trading and securities lending systems can produce profits in the form of either trading gains or interest and it is somewhat arbitrary as to which line item they fall under. Net revenues from Market Making were $279 million, up 29.6% from the fourth quarter of ‘06. Despite higher trading volumes, the variable cost of execution and clearing, our largest expense category, making up 70% of non-interest expenses, that rose only 2% from the fourth quarter of ‘06 to $52.4 million. This in part reflects the reduction in exchange-mandated payment for order flow program rates on options traded in pennies. In addition, greater options volume was executed on exchanges using the maker-taker model whereas as a market maker we are paid for providing liquidity instead of paying exchange fees. Pre-tax income from Market Making was $204.2 million up 45.4% quarter-over-quarter. And for the full-year 2007, pro forma pre-tax income from Market Making was $719.8 million, up 8.6% over the prior year. Turning to Electronic Brokerage. Record trade volumes drove Brokerage operations in the fourth quarter. Customer accounts grew by 24% over the total at year-end 2006 and by nearly 6% in the fourth quarter. Total customer DARTs grew to 307,000, 54% over the fourth quarter of ‘06 and a 13% increase sequentially. Our cleared customer DART, which generate direct revenue for the Brokerage business, grew to 259,000, that is 64% increase quarter-over-quarter and 13% sequentially. In addition the average number of orders or DARTs per account on an annualized basis was 701, up 34% over the 2006 period reflecting our success in attracting larger, more active customers. Customer equity grew to $8.8 billion, up 44% from the fourth quarter of ‘06 and up 6% sequentially. The higher trade volumes drove revenue from commissions and execution fees to a record $75 million, an increase of 61% quarter-over-quarter and 8% sequentially. Net interest income rose to $23.2 million up 37% from the fourth quarter of ‘06 and up 6% sequentially. Because the interest rates we pay and charge to our customers are pegged to benchmark rates, net interest income in our Brokerage business is primarily a function of the growing customer cash and margin loan balances. Net revenues from Brokerage were $118.2 million for the quarter, up 45% from the fourth quarter of ‘06 and up 6% sequentially. As with our Market Making segment, execution and clearing fees account for the majority about, in this case, 48% of our non-interest expenses and brokerage. Despite the increase in trade volume, these variable costs declined to $27.2 million for the quarter, down 13% quarter-over-quarter and 5% sequentially. We continue to benefit from the shift away from payment for order flow customers and to commission-paying customers. Pre-tax income from Electronic Brokerage was $62.1 million for the quarter, up 194.3% quarter-over-quarter and up 10% sequentially. For the full year 2007, pro forma pre-tax income from Brokerage was $197.9 million, up 100.7% over the prior year. And now I’ll turn the conference back over to our moderator and we can take some questions. Thank you. 
Operator: (Operator Instructions) We’ll take our first question from Niamh Alexander - KBW.
Niamh Alexander - KBW: I’d like to go back to your comments earlier, Thomas, about the counterparty caution that caused you maybe not to trade as actively in the Market Making operation? Can you expand a little bit on that, was it one particular counter party that you were concerned about or was it some clearinghouse risk?
Thomas Peterffy: My worry is that if one of the clearinghouse members is unable to come up with the margin, and as you know, there are several clearinghouse members among them there are many smaller ones. If they are unable to come up with the margin, the clearinghouse just comes into the market and closes out the position at any price that they are offered. And this happened in ‘87 and we know what havoc that can wreck in the market and in the closing prices. So what happens then is that, long expiration options can be marked up to very crazy prices, which then can reflect back on the holders of those long positions and then the next guy can come up with the margin, it can develop into a domino effect. So in a situation like that, you want to be sure that you don’t have any large positions out there and for that matter, you can provide maybe some liquidity at that time.
Niamh Alexander - KBW: Okay. And just to be clear, you are no longer as concerned about that particular clearing member?
Thomas Peterffy: I didn’t say anything about a particular clearing member; I said that my fear is general. There is not one particular clearing member I am worried about. It is general and my fear is just the same as it’s been for the last three months. So we are still not providing liquidity for options further out than the six months.
Niamh Alexander - KBW: Okay. Thanks for clarifying that. And then if I could just move on to the customer trading activity, and we saw some really strong volume in the brokerage business, congratulations. And can you help me understand if there was any mix shift in customers if maybe some more of the institutional customers participated, if there was any unusual activity in the professional customer through the quarter?
Thomas Peterffy: There was no unusual activity; there is a steady shifting in our customer base from the less professional towards the more professional; from the smaller accounts to the larger accounts; from the less frequently trading accounts to the more frequently trading accounts.
Niamh Alexander - KBW: Okay. That’s helpful. And I will ask one question to Paul on the numbers if I may. And can you help us understand the FutureTrade just on some financial implications for our model here? How should we think about it, and initially neutral and modeling from headcount and the number you have given us?
Paul J. Brody: Yes, I think that’s accurate. We don’t expect it to be immediately accretive; we think that the benefits will come as we are able to integrate their operations and their software with our own platform. And we think that we can probably accomplish that over the next two to four months.
Operator: We will take over next question from Edward Ditmire - Fox-Pitt Kelton.
Edward Ditmire - Fox-Pitt Kelton: Congratulations on a good quarter. Can you walk us through a little bit the interest rate sensitivity of the Market Making units, net interest revenue?
Thomas Peterffy: Yes. Generally the Market Making unit tends to prefer high interest rates rather than low ones. The reason for that is that many of the trades the Making unit does are really interest trades in the sense that they are combination trades where you tend to buy something that pays off at a certain time and certain others things that pays off at an earlier time or at a later time. So many of the trades basically are investments of money for a certain period of time. Now when interest rates are higher, let’s say when they are 10%, people don’t worry about 20, 30 basis points. When they are at 2%, people worry about 20 or 30 basis points because it’s a larger component of the whole. So generally, times of higher interest rates the market is sloppier and therefore the Market Making unit tends to make more money. But this is a very minor part of the Market Making, so I wouldn’t put too much emphasis on it.
Edward Ditmire - Fox-Pitt Kelton: Could you update us on during the fourth quarter what the competitive dynamic was, specifically within the penny quoted options and I am thinking more about the battle over for (inaudible) liquidity between traditional market makers and competitors that are not market makers?
Thomas Peterffy: It’s not so clearly visible. Let me get into generally how our market share has evolved over the quarter. And in the fourth quarter of ‘06 our market share for market making rose 11.3% in the U.S. And it rose in the fourth quarter of ‘07 it was 10.36%. So we have lost almost an entire percentage point in Market Making. As I have explained previously, some of the increased volume in the industry, from ‘06 to ‘07, for the fourth quarter, is dividend plays and interest put plays and the ISE estimates that these interest and dividend plays represented 5.3% of the total industry volume. Now the total industry volume in the U.S. went up 53.8% year-on-year for the quarter, but if you took these trades out, it would have gone up only 45%, in other words 8% of this increase goes interest and dividend plays. Now, there is a new factor that comes into place and that has to do with exchange linkage. When an exchange receives a marketable order, when that exchange is not on the NBBO, it is not allowed to trade through the NBBO, but is supposed to link that order to an exchange where the order can trade at the NBBO. But what in fact happens is that the exchange holds up the order for a short period of time and it shows it to all of its members, saying would anybody care to match the NBBO and then they can trade with this order. If nobody does, then they send the order to the other exchange where the NBBO bids. Now, many times, by the time they get there the market has changed so therefore it is not good for the customer when this kind of a thing happens. You better have routing to somebody who has a smart router. What happens is that the trade will take place at the away exchange for the account of the first exchange, and then the first exchange, who originally received the order, will trade with the customer order. So therefore the industry will print two trades for one. This gives additional rise in the option volume, which is not real. I do not know how much of this is going on, but there must be some. Now, this is especially more prevalent in penny options because the markets are tighter, so it is more likely that any one exchange at any one moment is not at the NBBO while another is, especially since the maker-taker exchanges are likely to quote tighter markets and they are the ones who receive lesser end-customer order flow because they are the new boys on the block. Now that I have sufficiently confused everybody with this, let me say that the industry-wide volume went up 53% for the year; the penny volume went up 92%; and the non-penny volume went up 37%. Our profits per contract went up 5.6% in the U.S. year-on-year. For the penny classes, they went down by 59% and for the non-penny classes, they went up by 50%. Now, our market share, as I said, was 11.3% industry-wide at the end of ’06; it went down to 10.36% at the end of ‘07. Our market share in penny options went to 10.94%; at the end of ‘06 there were no penny options yet. And our market share on the non-penny options went down to 10% flat from 11.3%. So, the explanation for this is, again, we do not quote deep options in pennies. We do not go far out in either in pennies or in nickels. I have mentioned certain pricing issues that we had with the penny options early in the quarter that was fixed towards the end of the quarter. So, all in all, we have grown substantially for the quarter, relative to the prior year. We have made more profits and we have a better system, so we are happy seeing what we’re seeing. If you ask me about what the competition is doing, I really can’t tell you much about it, because I really have no way of measuring it.
Operator: We’ll take our next question from Chris Donat - Sandler O’Neill.
Chris Donat - Sandler O’Neill : My first question is when you compare the results from the fourth quarter on the Market Making side with the third quarter, at least from my perspective, it looks like volumes are generally similar although your volumes tick down little bit and volatility as measured by the VIX was roughly similar. What would you say would be the main things we miss from the outside perspective as far as why the third quarter was better from a Market Making perspective than the fourth?
Thomas Peterffy: The third quarter was much more active for us. We had a quiet October. I think the entire industry had a quiet October, although I haven’t seen the monthly figures. November was very active and the beginning of December was active, and the end of December was quiet. But you remember August? August was a great time when many of our competitors left the marketplace and if you remember, we were saying that there weren’t too many other market makers on some of the heavier days in the market.
Chris Donat - Sandler O’Neill : Okay. And then just by comparison, in the fourth quarter was a little more competitive or didn’t have that lack of competition.
Thomas Peterffy: That’s correct.
Chris Donat - Sandler O’Neill : Okay. And then, as we look back historically on your results, when we’ve seen upticks in volume and volatility that is generally the two best things you can hope for, right?
Thomas Peterffy: That is correct. Volumes, by themselves, would be good. Volatility goes either way.
Chris Donat - Sandler O’Neill : Okay. And then, in terms of your Market Making now, you said you’re not making markets out in contracts further out than six months, right?
Thomas Peterffy: We were not in the fourth quarter.
Chris Donat - Sandler O’Neill :
I:
Thomas Peterffy: It’s probably less than a quarter.
Chris Donat - Sandler O’Neill : Paul, I don’t know if you can just help us understand the trade-off between the interest income and market making gains. I know you’ve tried to explain it. I’m not sure I am catching it. Can you put it in a nutshell again?
Paul J. Brody: We’ve talked in the past about how we’ve integrated our trading and securities lending systems and what we mean by that is, as part of our Market Making operation, we trade stock and stock options and you can think of perhaps two sides to a trade. One being in the traded market, options or stocks, and the other being in the securities lending market, stock borrow or stock loans, and each of those has an implied interest rate; securities lending has an outright interest rate. And as Thomas was talking about before, much of trading is interest rate trading or interest rate related. By integrating these systems we are able to capture some profits in the disparity in those markets and which side those profits end up on is somewhat arbitrary. So they may end up showing up as interest income but they may end up showing up as trading profit and which side it falls to doesn’t really matters to us. The system’s operating well and so you may see some fluctuation from period to period because of this kind of interaction.
Thomas Peterffy: Let me try to give an illustration here. Assume that we buy a stock. We do not like to be long or short stock so when we buy stock we are likely to hedge it; so we bought the stock, we are likely to sell, say a March call and buy a March put, so we are completely hedged. Now the way we finance this stock is that we lend it out and we pay interest. So we have an interest expense, but as the option comes due and the stock gets delivered two months later, that differential between the cash price and the March price and demand price come in as trading income. So we have an interest expense on the one side and trading income on the other side. Now imagine that we do exactly the reverse. Where we sell stock short and we go long in the forward market. Then we receive interest for the borrowed stock and we have an interest income and a trading loss. Did you get the idea?
Chris Donat - Sandler O’Neill : I got it now, yes.
Thomas Peterffy: Therefore the three things, trading income, interest income and dividend income are completely interchangeable. So it’s an accounting artifact that we have to separate these three things. But to us, really its one big bowl and in the trading mechanism we are just sloshing all these things back and forth and hope to come up with a profit at the end, and we do.
Chris Donat - Sandler O’Neill : Okay. And then, so as we think about the world now where companies are cutting dividends, interest rates are lower, does that mean anything necessarily?
Thomas Peterffy: It doesn’t mean much. It means, as I’ve said, it means a little because our people are little bit more careful about that at times at any course. But that’s all.
Operator: And we will take our next question from Jen Bullard - SFG.
Jen Bullard - SFG: My first question is, in your Market Making unit, it looks like you traded about 100 million shares of stock a day. Is that hedging for options or is that your Market Making stock or is it some other strategy or maybe a combination?
Thomas Peterffy: The way our system works is that for everything we trade, we make a market. So we make markets for stocks just like we make market for options. Every trade is trying to hedge every other trade. So I don’t know which is hedging which.
Jen Bullard - SFG: And my second question is do you or can you breakout the percentage of Market Making business in terms of indices versus equity?
Thomas Peterffy: We do not do that and I don’t know if you would include the ETFs in the indexes or in the equity. You will get a very different number, if you include ETFs, I would guess it’s – and this is just a guess − roughly half and half, if you include ETFs in the index side.
Jen Bullard - SFG: And one final question, just on the Market Making volume, does that volume include customer trades that essentially were eroded from Brokerage to Market Making?
Thomas Peterffy: No, we don’t do that. We do not trade with our customers; this is very important that everybody knows. We do not trade with our customers. We have a Chinese Wall, we do not see those customers orders and our brokerage company tries to execute those trades at the best available price on the exchange.
Operator: And we will take over next question from Rich Repetto - Sandler O’Neill.
Rich Repetto - Sandler O’Neill: My question is, how scalable are the systems given the increases in volumes we’re seeing right now?
Thomas Peterffy: As far as we know, the systems are very, very scalable, but as I have said to you, we did find certain imperfections when the additional penny classes were added and we didn’t know that we would. So we believe our systems to be very scalable but every now and then, sometimes something crops up. The system has gone up to as much as 1.47 million trades a day without any trouble.
Rich Repetto - Sandler O’Neill: And was that recently or when was that?
Thomas Peterffy: You are out of touch. (Laughing)
Rich Repetto - Sandler O’Neill: Never mind. I’ll ask another question. You mentioned, volume was a positive indicator and then you also mentioned volatility can be a double-edged sword. Could you explain the impact of higher volatility; potential impacts?
Thomas Peterffy: The reason why we like volatility is because volatility brings volume and we make money out of the volume.
Operator: We will take our next question from Michael Mackey - Kingdon Capital.
Michael Mackey : We are talking about option volumes and if you look at the industry, I know you aren’t involved, not in the dividend related, which accounted for part of the growth. So if we look sequentially, looking at the OCC website which had option growth up 9% sequentially, so we if take out what was dividend-related maybe it’s 3% growth, you were down about 1% sequentially. Is that all really from pulling back on your counterparty fears?
Thomas Peterffy: No. Don’t forget not quoting deep options, the high delta options, is a substantial part of that, number one. Number two, I will repeat for the third time that we have discovered some pricing issues in our penny quoting early in the quarter and it took us several weeks to remedy that and while that was going on we had to quote a wider market than we normally would have.
Michael Mackey : Is there a way for you, I know this is the tough question, to quantify what that might cost you in the quarter, both of those?
Thomas Peterffy: I wouldn’t know how to do that, sorry.
Michael Mackey – Kingdon Capital: What volume growth would have been, you know x, the quoting deep in the money, or the penny issues?
Thomas Peterffy: We know that our market share sequentially in the penny issues went from 13.6% to 10.9% from the third quarter to the fourth quarter. Maybe a third of that, maybe 1% of the 3% was due to that.
Michael Mackey – Kingdon Capital: Okay. And then and not quoting deep in the money?
Thomas Peterffy: Not quoting the deeps is a significant amount, but I don’t think it cost us much because, quite frankly, what I think what is going on in the market is that people who have a lot of stuff to move come to the penny options first.
Operator: We go back to Niamh Alexander - KBW.
Niamh Alexander - KBW: I wanted to move on some strategic stuff in the industry, Thomas, if I may. The SEC it looks like moving a little bit more forward, albeit at a glacial pace, in the dollar strike prices. Do you think this could be maybe another catalyst for growth in volume, particularly for institutional investors? And then the second question is on portfolio margining. You had a great early start and a lift. Are you seeing customers take advantage of the additional leverage or is the market environment seeing people remain cautious for now?
Thomas Peterffy: As far as the dollar strikes, I don’t see much economic merit in doing them. I think that going to penny quoting is more beneficial to the customer base and dollar strikes are just going to further increase the quote traffic and I don’t see the economic justification for it.
Operator: We will go next to K.C. Ambrecht - Millennium.
K.C. Ambrecht - Millennium: Just quickly on the current environment, you have talked a lot about volatility and volumes, January has almost exploded again to October, November, even summer levels. Presumably this has to be a good environment for you. Is that fair with the VIX up here?
Thomas Peterffy: October was a very slow month. November was a high volume month. August was a very high volume month, and generally, high volume is good for us.
K.C. Ambrecht - Millennium: So January should be off to a good start for the quarter then?
Thomas Peterffy: We do not comment on unreported periods. But high-volume months are generally good for us.
Operator: We will go next to Jen Bullard - SFG.
Jen Bullard - SFG: Just a follow-up on the Market Making and Brokerage. What I was trying to get at is that the industry standard is to route to yourself if you are on NBBO and so my question is, if you are the best market, does the order from your brokerage unit directly go to your Market Maker unit at that point? Or am I not thinking about it correctly?
Thomas Peterffy: No, no. The order from the brokerage unit always goes to an exchange. There are certain exchanges where we are specialists, so at that time when we see that the exchange, where we are specialists, is just as good as one where we are not specialists, we are going to route to the exchange where we are specialists.
Jen Bullard - SFG: Okay. Thanks, that’s what I was trying to get to. In terms of international versus U.S., do you break out the percentage of your business there and I am also curious of what your outlook is for international go-forward?
Thomas Peterffy: You have to realize that we run a globally integrated portfolio. So where the profits end up is kind of accidental. So therefore breaking out where the revenues come from would not mean anything and we therefore don’t study that issue. We could look at the volume figures but I tell you we haven’t in the past. Maybe we’ll look at them in the future.
Jen Bullard - SFG: Okay and then just in terms of your outlook for where you see more growth, U.S. versus international?
Thomas Peterffy: It clearly appears that Asia grows faster than the U.S. and the U.S. is growing a little faster than Europe. But you have to be aware that Asia is starting from very low base. The European growth is not as high as the U.S growth, mostly because in Europe, over the counter dealing is more prevalent than in the United States because the European exchanges allow over the counter deals to be grossed outside of the regular exchange process.
Operator: And we will go next to James Ellman - Seacliff.
James Ellman - Seacliff: There seems to be some misunderstanding or disagreement out there in the investment community as to this quarter in that while your earnings came in higher than the expectations of the (inaudible) analysts following the company, they were sequentially down from the third quarter. Can you explain why your earnings were down and how much is that just due to just normal seasonality?
Thomas Peterffy: Earnings were down because the third quarter was a very unusual quarter due to the August events in the marketplace. In the course of August the market fell out of bed and several of our competitors for several days were not active in the market and so there was much, much less competition. Markets were very wide and we have greatly benefited from that market upheaval.
James Ellman - Seacliff: So, do you say that you didn’t necessarily lose market share in the fourth quarter versus the third quarter or it was more that market share returned to levels commensurate with where they have been, except for that unusual period in August?
Thomas Peterffy: If we look at our quarters year-after-year-after-year, what happened was that our first quarter of ‘07 was roughly in-line, the second quarter was very bad because of the (inaudible) event and besides that it goes as a slow quarter, and even in the first quarter we had some front-running issues. The third quarter was extremely good and the fourth quarter was roughly where we would have expected the fourth quarter to be. So in this market making business, things are probabilistic that they usually work out the way you expect them but there are fluctuations up and down as we progress quarter-after-quarter-after-quarter. So the fourth quarter was roughly where we had expected it, third quarter was much better, and the second quarter was much worse, and the first quarter was slightly worse. Generally, we would expect our market making year-on-year to grow roughly 15% per year. This year it grew only 8.3%, that’s not to say that in the future if you ask me where this business is going on the very long-run, I still believe that Market Making will grow 15% per year, and Brokerage will grow 50% a year.
James Ellman - Seacliff: So certainly the models the (inaudible) had presented to investors over the course of recent months had already incorporated the return to a more normal market in the fourth quarter in terms of your competitors versus the third quarter?
Thomas Peterffy: That is correct. I don’t know what terms of competitors meant in the sentence, but otherwise I agree with you.
James Ellman - Seacliff: And could you just comment on your expectations and ability to gain market share in 2008?
Thomas Peterffy: It’s a very difficult issue; I do not know what people are working on. From time-to-time a new competitor arrives on the scene. He generally starts to fight for market share by tighter quotes. It takes them some amount of time, maybe a year, two or three years, to realize that this business is not as easy a business as they thought it would be. So over the years, we have seen competitors come and go and we have seen price wars. When they happen, I do not know. There are rumors about one of the big firms just decided that they are going to get into this business, it’s probably going to take them a year to get ready and then a year or two to decide that it’s not really for them.
Operator: We will take a question from Edward Ditmire - Fox-Pitt Kelton.
Edward Ditmire - Fox-Pitt Kelton: I have one follow-up question. A number of the public brokers in the options space are quite insistent that the payment for order flow trends are very stable while at Interactive you seem to believe very, very firmly that the payment for order flow is declining. Can you reconcile this? Is there two different models going on with the traditional options exchanges and the maker-taker model and is there room for both?
Thomas Peterffy: There is certainly a room for both. I think that this entire issue will be clarified after the CBOE has gone public. The CBOE is trying to hold on to market share and they are trying to represent to the world that they are really a smart router and if you send your order through the CBOE you don’t need a smart router because we either will execute at the NBBO or we’ll reroute it to the exchange where the NBBO is, but the fact is that the away exchange, especially the maker-take exchange is charged to execute that order. Yes, because the maker gets the payment. The CBOE takes upon itself to make that payment and it also pays to the broker that routed the order to each. So it is becoming quite expensive for the CBOE to continue this strategy but for the time being they seem to be doing it now, but they do also to discourage some of this business is that they handle it not very smoothly. So that maybe not too many people who are really sophisticated will take advantage of the CBOE as a supposed smart router, but that the general brokerage firms who execute for unsophisticated customers and that’s what your data must be coming from. They basically are willing to live with it.
Operator: And that does conclude our question-and-answer session. At this time I like to turn every thing back over to you Mr. Ioffe for any additional or closing remarks.
Alexander M. Ioffe: We would like to thank you for participating today. This call will be available for replay in our website and again thank for your time. Take care.